Operator: Good afternoon, ladies and gentlemen. My name is Cedarius, and I will be your conference operator today. I would like to welcome everyone to the Kirkland Lake Gold conference call and webcast to discuss the company's fourth quarter and full year 2020 financial and operating results.  With that, I would now like to turn the call over to Senior Vice President, Investor Relations, Mark Utting.
Mark Utting: Thanks very much, operator, and good afternoon, everyone. Welcome to our Fourth Quarter and Full Year 2020 Conference Call and Webcast. On the call today are many members of the Kirkland gold senior management team. Speaking today will be Tony Makuch, our President and CEO; David Soares, our Chief Financial Officer; Evan Pelletier, our Vice President, Mining, for Kirkland Lake; Larry Lazeski, our General Manager of Lake Mine; Ian Holland, Vice President and Co-lead of Australian Operations; and Eric Kallio, our Senior Vice President of Exploration. There are also several other members of the management team on the phone as well that may participate in the Q&A. After we go through the presentation, we'll then open up the call to questions.  The slide deck that we'll be referring to is available on our website, both on the homepage and in the Events section. Before I get started, I would like to direct everyone to the forward-looking statement slide, Slide 2 on our slide deck. Our remarks and answers to questions may contain and likely will contain forward-looking information about future events affecting our company. Please refer to Slide 2 as well as the forward-looking information section of our most recent MD&A dated February 24, 2021, for more information. Also, during today's call, we'll be making reference to non-IFRS performance measures. A reconciliation of these measures is also available in our most recent MD&A. Finally, I'll mention that all figures given today will be in U.S. dollars unless otherwise stated. With that, I'll turn the call over to Tony Makuch, President and CEO of Kirkland Lake Gold.
Tony Makuch: Okay. Thanks, Mark, and thanks, everybody, for being on the call. And I guess, it's definitely been a different time over the last year in 2020. Very -- as we can say, a lot of different things happen. But in terms of the people at Kirkland gold, which includes the people that directly work for us, our suppliers, our communities where we work and our partners and everybody really stepped up to the forefront and we put in some good efforts. And we had a record year in a lot of different areas. And in some areas, we can be very proud of in terms of how people worked together and achieve these results. But when it came to COVID-19 and COVID-19 response and our -- all of the processes at place, I think we've had significant success. And our sites still remain very safe and operating well. And I think people can feel pretty good about what we can achieve and achieve as a group and when you get challenged.
David Soares: Thank you, Tony, and good afternoon, everyone. I'll start on Slide 16. As Tony mentioned, we had strong earnings in Q4 2020. Adjusted net earnings totaled $265.8 million or $0.98 per share, a 43% increase from Q4 2019 and 5% better than last quarter. The difference between adjusted net earnings per share of $0.98 and net earnings per share of $0.86 in Q4 of 2020 was mainly related to the add-back of $35 million of noncash foreign exchange losses, reflecting the strengthening of the Aussie and Canadian dollars against the U.S. dollar during the quarter; and costs related to nonoperating sites of $8.9 million incurred at the hold complex, NNP, which are not reflective of our operations; as well as severance costs and COVID-related costs totaling $2.2 million for the quarter. Q4 earnings and earnings per share is impacted by higher depreciation. Depreciation in the fourth quarter included an adjustment of approximately $10 million or $0.03 a share relating to the first 3 quarters of the year resulting from purchase price allocation adjustments at Detour Lake. Turning to Slide 17. The key driver of improved earnings in Q4 was higher revenue. Revenue in Q4 2020 totaled $691.5 million, 68% higher than the revenue of $412.4 million in Q4 of 2019 and higher than the $632.8 million of revenue recorded last quarter. Of the increase from a year ago, a $393 per ounce increase in the average gold price to $1,875 per ounce accounted for $146 million of the increase in revenue year-over-year and $137 million related to a 33% increase in gold sales to 371,000 ounces. Compared to last quarter, we had a $74 million increase in revenue from a 12% increase in gold sales, increasing to 371,000 ounces from 332,000 ounces last quarter. This impact more than offset a $12 million reduction as a result of average price decreasing from $1,907 last quarter to $1,875 in Q4. Looking at EBITDA, as shown on Slide '18, Q4 2020 EBITDA totaled $458 million, a 60% increase from $286 million in Q4 of 2019. Compared to last quarter, EBITDA increased 19% from $384 million. The change from last quarter relates to net earnings, which were higher, driven by revenue growth. Depreciation in Q4 was $33 million higher than Q3 2020, partly due to increased sales loan, which accounted for $10 million of the $33 million. As mentioned earlier, the increase in depletion and depreciation was primarily at Detour due to depreciation adjustments on the fair value estimates related to the purchase price acquisition -- allocation, sorry. These adjustments increased depletion and depreciation expense in Q4 2020 by approximately $20 million as compared to Q3. Approximately $10 million of the $20 million related to revisions to depletion and depreciation expense during the first 3 quarters of full year 2020. Turning to Slide 19. Adjusted net earnings in full year 2020 totaled $922.9 million or $3.41 per share, a 60% increase from full year 2019. The difference between adjusted net earnings per share of $3.41 and net earnings per share of $2.91 in full year 2020 was mainly related to $58.5 million of noncash foreign exchange losses, reflecting the strengthening of the Australian and Canadian dollars against the U.S. dollar during the year; the environmental remediation provisions at ENP account for $32.6 million; and transaction costs of $33.8 million related to the Detour acquisition. Turning to Slide 20 to look at our cash balance and cash flow. On the slide, you'll see that our operating cash flow is very strong, generating over $490 million of operating cash flow in the quarter before $70 million of cash tax paid. During the quarter, we also invested in our key assets, spending $189 million in capital as well as $20 million on strategic investments. We also received $65 million from the sale of our investments in Degree and Noble, accounting for the $147 million of net cash used in investing activities during the quarter. Cash used for financing of $277 million reflected the $245.3 million we used to repurchase 5.7 million shares in Q4 as well as $34.2 million used for dividend payments. Slide 21 looks at the change in cash in a different way. You can see that the largest contributor to growth in cash was our operations, which generated about $401 million of cash, which is before income tax paid of $70 million, growth capital investment, $33 million and exploration spending of $36 million. Other cash outflows include costs incurred at our nonoperating sites at the NTN hold complex as well as corporate G&A of $12 million. As noted in the previous slide, during the quarter, $279.5 million was returned to shareholders, including $245.3 million used to repurchase just over 5.7 million shares through the company's NCIB and $34.2 million of dividend payments related to a quarterly dividend of $0.125 per share paid on October 14, 2020, to shareholders of record on September 30, 2020. Next, I'll turn it over to Evan Pelletier, VP of Mining at Kirkland Lake, to discuss performance.
Evan Pelletier: Thanks, David. Starting on Slide 22. For 2020, Macassa produced 183,000 ounces at operating cash costs of $562 million and all-in sustaining costs of $922 million. They are not -- these are not the numbers that we were expecting on prior calls. We have talked about the impact of COVID-19 on our operations and the excess heat we experienced in Q3. We bounced back in Q4 and had a solid quarter with the average grade up 45% and higher levels of tonnes processed compared to Q3. Production for the quarter totaled 52,000 ounces at an operating cash cost of $534 million and all-in sustaining cost of $941. The all-in sustaining capital numbers was still high, which largely reflected the level of sustaining capital expenditures as we continue to catch up on some key projects, including capital development. 37% increase in production compared to the previous quarter was due to 45% improvements in the average grade, reflecting a greater proportion of higher-grade stopes and the FMC being mined during the final quarter of the year. As you have heard, this year, we expected to see numbers more like 2019 with production of 220,000 to 255,000 ounces and cash costs of $450 to $470. Next slide, please. Turning to Slide 23. Looking at our major projects for the year, we have made excellent progress on a number of fronts. The 4-shaft project is approximately a month ahead of schedule and on target for completion in late 2022. We're tracking well against our capital cost budget of $320 million and have the potential to come in below that level. The total spend to date at December 31, 2020, was $177 million. During Q4, we 875 feet to a total of 4,250 feet by quarter end. We also continue to make good progress with steel installation and putting in place all required infrastructure. Today, the shaft is down around 4,600 feet. We also have projects in place to improve ventilation, recruitment and completing an upgrade project that should increase air to the mine by about 50% to around 300,000 CFMs. This should be done in Q2. We are also expanding our ventilation with 2 vent raises which should add another 200,000 CFM by the first half of the year. When the foreshaft is done, we'll go to about 750,000 CFMs or better. We're also doing a number of other projects, underground infrastructure, mill enhancements and the ramp surface zones along an elongated break. Generally, I'll say these projects are all progressing well. I'll now turn the call over to Larry Lazeski, General Manager of Detour Lake Mines.
Larry Lazeski: Thanks, Evan. Turning to Detour Lake on Slide 24. Before we look at the Q4 2020 numbers, I wanted to call to your attention that the results for the full year 2020 are for the 11 months from January 31, 2020, to the end of the year. In fiscal year 2020, Detour Lake produced 517,000 ounces, and gold sales were 537,000 ounces for the year. Production for the year was just under the guidance range of 520,000 to 540,000 ounces, reflecting a slightly lower-than-planned average grade. Looking at unit costs, operating cash costs averaged $625 for the year, all-in sustaining costs per ounce sold averaged $1,171. For Q4 2020, production at Detour Lake totaled 153,000 ounces, adding average cash cost of $612 and an all-in sustaining cost of $1,207 per ounce. Looking at 2021, you've already seen the guidance. We expect significant growth in production to -- 680,000 to 720,000 ounces, which is based on our -- on over 24 million tonnes of throughput at much higher average grade. To support this growth, we have received a revised permit to support annual production rates up to 32 million tonnes. Although our current plan is not to fully utilized that, we do anticipate reaching 28 million tonnes, as previously spoken earlier in throughput in the new plan. With the growth in production, unit costs should improve with cash costs of $580 to $600 per ounce and all-in sustaining costs better than $900 per ounce with lower sustaining capital expenditures. Moving on to Slide 25. Tony mentioned earlier, we have a number of projects at Detour Lake. We're investing in significant mill enhancements to improve throughput by adding screens to the crushing circuit, adding leach tanks, a detox tank and capital improvements to the CIP and gravity circuits. We are also continuing with a major tailings expansion project. Surface infrastructure projects include a new, communications upgrades, core shaft, airfield, welding trough, cap expansion, improved access roads and pavement of areas are on the camp, surface buildings and the front gate. It helps includes a new waystation. Mobile equipment procurement was a key area of capital expenditures as well in the second half of 2020 as we upgraded the fleet in support of planned growth. This will also continue in 2020. We also have significant deferred stripping component in our growth capital this year which reflects a major stripping campaign we have planned as part of Phase 4, which will support production in future years. With that, I'll turn the call over to Ian Holland, Vice President and Co-lead of our Australian operations.
Ian Holland: Yes, thanks. Good afternoon, everyone. I'll be speaking to Slide 26. Fosterville had a record production year in 2020. We produced 640,000 ounces, about 3% higher than the 619,000 ounces in 2019. The 640,000 ounces of production. We exceeded the full year guidance for 2020, and this is driven by higher-than-planned tonnage. The increased tonnage more than offset the reduction in the average head grade. Throughout 2020, we invested in infrastructure for the mine to continue to support the higher mining rates. We completed the ventilation system, a new gold room, new transformer station. And these projects, along with the addition of ground operations, were very important for the increase in volumes. We continue to achieve very low costs in financial year 2020 with operating cash costs of $139 per ounce, higher than last year, but only due to the slight reduction in average grade. All-in sustaining cost per ounce sold for full year 2020 averaged $312 versus $291 in the full year 2019. The change is a result of the increased royalty payments resulting from the new royalty the Victorian government introduced as of January 1 last year. If we exclude the impact of that new royalty, per ounce sold for the full year 2020 actually improved 9% from the year 2019. And this is funding capital expenditures. Looking at Q4. We produced 164,000 ounces. this is based off 184,000 tonnes at an average grade of 28 grams a tonne and average new recoveries of 98.9%. This production compared to record production in Q4 2019 of 192,000 ounces, when had a record head grade of 43 grams a tonne. The production per Q cor increased from the 162,000 ounces that we managed in Q3. And this was purely a result of slightly higher tonnage throughput in Q4. Turning to 2021. Tony's already addressed it, we are transitioning to a higher-tonnage, lower-grade outlook. We plan lower levels of production over a longer period of time while we continue a very extensive exploration programs. With that, I'll turn the call over to Eric Kallio, the Senior Vice President of Exploration.
Eric Kallio: Thanks, Ian, and good afternoon, everyone. My first slide today will be number 27 and summarizes final results and year-to-year changes for exclusive resources. And as indicated and we've already heard earlier, we did a test -- we did experience some challenges with these resources to replace it, but in large part, due to COVID and not -- just not being able to do all the drilling that we had planned. Despite above, we did see some success, good growth at Macassa and Detour during the year, but for slightly different reasons. In Macassa, we saw almost 32% increase in inferred, 4% in indicated, which are basically areas that we did have exploration success, but just not enough time to be able to convert these to reserves. For Detour, we also saw a good increase of about 20% for M&I and 29% for inferred, but this was mainly due to an increased price for the gold used in new update, which is USD 1,500 versus the USD 1,300 in the previous. Besides the above, we did see a sizable decrease in Fosterville, including a 33% drop in M&I and 27% drop in inferred at Fosterville mine. And looking at this, I could say most of this was due to the limited drilling and large amounts of high-grade that was depleted during the year, but also due to some refinement of resources at Harrier and Signet. We also removed some lower-grade historic resources in the upper part of the mine which are away from the current mining. Turning now to my next slide, which is number 28. This slide is related to Detour, where we're continuing to advance the large-scale program started in early 2020 to evaluate resource potential near the main and. As previously announced, the program includes a minimum of 250,000 meters of drilling and is designed towards creating an updated resource and potentially expanded mine plan for early '22. Shown on the screen is a long section through the area being drilled and showing current reserves targets and results from our latest press release, which was announced in late December. This is our third press release since starting the program. As shown on the image, the release includes information from additional 25 holes from the project, which were drilled mainly into the saddle zone as well as some first hole to test the potential extensions of mineralization to the west of West pit. And overall, continue to be very positive with several holes intersecting broad zones of mineralization with attractive open pit grades, but also higher-grade sub-intervals, which could provide potential for underground resources as well. Although there are a large number of highlights in the release to talk about, I believe it's worth drawing your attention to the east part of the saddle, just west of the main pit, where we had quite a few holes indicating both the broad zones of mineralization, several of them being between 150 to 200 meter wide, but often containing higher pit grade sub-intervals at very shallow depths, in some cases, right at the bedrock interface. Although it's shown by the green dots, there's large number of holes we could point to. Some of the key ones could include 25-E, which interspaced 4.02 grams per tonne over 43 meters and 2.58 over 70.9 as well as hole 28, which intersected 4.38 grams per tonne over 31 meters. Additional to this, we also had several other good holes in the central part of the cell, which continued to confirm continuity of the system between the 2 pit reserves as well as some very good results up to 200 meters west of the West pit. In summary, work to date at Detour continues to go very well. We now have 12 drills on site and all the necessary equipment to complete the program, and I'm feeling very confident about hitting our goals by year-end. So now turning on to Slide number 29. We should see an image from Macassa, where -- which was one of the main areas that we did absorb a solid hit from the COVID, and in the end, resulted in us only doing about 50% of our planned drilling and also coming up slightly short in replacing all reserves. Despite the, we do feel that there was still a lot of exploration success during the year, including intersection of new high-grade zones in several areas of PSMC, definition of a new 700-meter-long high-grade corridor at Tanin Break as well as identification of almost 180,000 ounces of new inferred resources, which we believe could have replaced much of the remaining reserve shortfall given a little bit more time. So considering the above and the fact that all drills are now back up and running. We feel we're now back on track to -- and ready to start replacing reserves again in '21, with their target for the year, again, being about 250,000 to 300,000 ounces. So details for the plan are shown on the current slide. As indicated, focused strongly on direct extensions of the SMC to the east and west as well as amalgamated, which are areas we've always had success in the past. In addition to this, we are initiating what we feel is some significant new work on our 34 and 51 levels to start testing upper parts of the main break in areas to the south, where we believe there could be new SMC-type structures. Work's also planned for a new service ramp as well as on regional exploration. In total, the program will include about 2,000 meters of development, 226,000 meters of drilling, with about 40% of the drilling being dedicated to the SMC West. 40% to the East and the remainder to the new projects. And the new development is shown on the slide. When completed in several areas, defined by the yellow line, designed mostly to support drilling into these new areas. So now turning on to Slide 30, we should see a slide for Fosterville, whereas in Canada, we also had some strong setbacks from COVID, which caused us to lose about 42% of planned dual meters and being unable to gain some very important platforms to test downturns of the Phoenix and Swan. These 2 items, plus the large amount of completion to the year are some of the main reasons for the changes seen in reserves and resources, with remainder being from reinterpretations, new drilling movement as well as movement of certain low-grade zone in the upper historic part of the mine to inventory. Despite above, we do feel there are a lot of good accomplishments again to exploration in 2020 here, including new high barrier sections at the Swan, Signet, Harrier as well as extension of the mineralized envelope that broaden heal up to 900 meters down plunge and continuing to see intermittent Signet of courts with visible gold similar to Swan. Due to the above, we remain optimistic of out our chances for success in '21, with Macassa designed, what we believe is a very good program with a strong chance of replacing the ounces as we move on. Again, the details of the plan are shown on the slide, and we'll focus mainly on the lower Phoenix and Robin Fill areas. We have 232,000 meters of drilling, 5.6 kilometers of development. Approximately 65% of the total meters will be dedicated to Lower Phoenix, 25% to Signet -- sorry, 65% to Lower Phoenix and Signet. 25% to Robin's Hill and the remainder to other new projects on the mine leases. Terms of development was split between lower Phoenix and Robin Hall, with about 20% of the meters going to Lower Phoenix to develop new wall platforms so we can drill down plunge as well as to completing 2 new hanging walls as well as -- and then the other 80% being targeted towards Robbin's Hill and continue to advance the new exploration drift towards the Robin Hills reserve. So in summary, 2020 was a bit challenging for Macassa and Fosterville, but we believe things are looking up in '21. And on the other hand, Detour already had a good year, and we think this one will become even better. And with that, I will pass the call back to Tony.
Tony Makuch: Thanks, Eric, and thanks, everyone, for listening and everyone for contributing on the call. We didn't take too long and try to be concise here. Anyway, I'll just finish up here on Slide 31. And definitely, you can see that there is -- we had a good, strong year in 2020. Yes, COVID-19, and you might sit there and say, let's say it's a year we might want to forget. But at the same time, we had some significant performance and really get the sense of the quality of people and what people can do when you work together and you look at it, whether it was record levels of production, earnings and cash flow for the company or record safety results and really some strong performance in terms of our responsibility to the communities we live in and we work in, the people that live in those communities and the environment and, et cetera, that's going on with the company. Anyway, some other highlights for the year. Again, in terms of returning $850 million to shareholders in 2020. Share repurchases have been dividend where we -- both were strong. And we, as I said, we met our guidance on share repurchases into January of 2021. We have a strong balance sheet for our business plan going forward, position us very well to have really good strong success in 2021 and the next few years, and we have an extremely large exploration budget. But we're going to sit there and say 2020 is behind us only because we got some such exciting things, as Eric talked about some exciting things from an exploration point of view in 2021. And we are -- we have given out some updated guidance for Detour. Again, that shows growth in production in Detour for the next 5 years. And that's really just a subset of what a real view of that Detour is going to come with the exploration drilling being done in 2021 and the continued advancement of permits in 2021 at Detour; with the continued development of the new shaft at Macassa and what can happen there; plus the ongoing development that pro the Fosterville into Robin's Hill; plus a very aggressive exploration program going on down at Fosterville in 2021. So a very exciting year. A good -- if we look at where our share price is and where we can -- where our share price can go over the next -- this year as we demonstrate new value coming into the company, be exciting year for shareholders. We also have a lot of other initiatives which will be coming on in terms of how we're going to move forward from a social responsibility point of view, where we want to take ourselves in terms of leading the industry or being upfront front industry, whether it's to greenhouse gas, whether it's to community support and whether it's really going into the 21st century strongly in terms of automation and digitization at our sites and make smart minds over the next few years. But those are things to talk about maybe at our next calls and our next meetings. And now we're going to -- maybe we'll get to see some of you personally at BMO conference next week. And definitely, we're always open to any calls for people that want to talk and have meetings here. Always want to speak one-on-one with people. But with that, anyway, I'll end the call, and I'd be happy to take any questions we got. Thanks.
Operator:  Your first question comes from the line of Tyler Langton from JPMorgan.
Tyler Langton: Just with the exploration at Fosterville, I guess do you have a sense of whether we'll be getting, I guess, updates throughout the year? Or is it something more to expect sort of towards the end of the year, early 2022.
Eric Kallio: Okay. It's Eric. We don't have an actual time line that we plan to bring out an exploration release. We do the releases when we feel we have significant information that we can announce. We do feel that we're making steady progress on the programs there. As I mentioned, we are finding -- we've got broad systems identified. We're seeing characteristics of the Swan zone. But the press releases will, I mean, say -- there's no timing for them. But we will give updates as needed.
Tyler Langton: Okay. And then just as a follow-up. In terms of capital allocation, you sort of this year, is it more, I guess, preference for the dividend? Or how do you think about buybacks? And just kind of any color there would be great.
Tony Makuch: Well, we -- in terms of our capital allocation and strategy, we've communicated a couple of times in a number of areas that we want to really focus on. Definitely where our dividend is. We have a strong dividend, and you can see as we progress into 2021, we have some -- both a strong cash position and potential for further free cash flow generation. We are going to be continued towards being strategy with our NCIB, where possible. And we're going to -- we'll be considering what we can do with our dividend in terms of growth. But at the same time, we want to make sure that we can fund and be well positioned to drive new value for Kirkland Lake for the shareholders. And whether it's in relation to our -- again, our aggressive exploration program we have this year, our aggressive investment in growth, what we see at Detour, plus what we're looking in terms of trying to do it for Fosterville. So we make sure that we responsibly keep our business strong and profitable. But at the same time, returning a good portion of any free cash flow to shareholders. We don't see ourselves building up a cash position both to over $1 billion or multibillion dollars. I don't know, David, if you want to give any more color? Dave Soares, the CFO? Any color on that or?
David Soares: No, Tony. I think what you just mentioned in terms of having the aggressive, sustainable dividend, looking for opportunities to grow the dividend camp and our shareholders have expressed interest in going to buy back and the dividend price. So things we consider on both. And as I said, we'll be opportunistic on the buybacks.
Operator: Our next question comes from the line of Ovais Habib from Scotiabank.
Ovais Habib: Tony and team, just a couple of questions from me, and I'll pass it on to other guys on the call. Just based on the figure guidance at Fosterville, the plan essentially was to reduce the material from the Swan zone. Now does the new reserve grade change your thinking at all in terms of the mix or increasing the throughput to manage that reserve grade?
Tony Makuch: I mean, I think in terms of where we're going, I mean, a lot of the plan we have this year is to be -- to improve the mix going in. I mean, you have a lot more flexibility now with Fosterville with the improved ventilation and phase fill, et cetera, and have been holding up more faces. But I think maybe Ian can give a little more color there. But we also see that, as the grade is reducing or in terms of what we do for resources. And we need to get be -- be able to be less selective and more able to be more proportional to the mining in various areas. But Ian, you got any more color to that you want to give?
Ian Holland: Yes, sure, Tony. I mean, we've got a really well scheduled out plan for our main stoping fronts, and that is governed a lot by our geotechnical considerations. Postfiling unlocked a few flexibility in that area. And the broader zones we're talking to, we'll start to get into the Signets and things like that. Now higher tonnes and lower grade, for sure. But what it does is give the mine of fair bit of flexibility. Say, things go around, sometimes. So the more stoping fronts that we have, then the more able the side is to be at to cope with any sort of bumps along the way. So I think we're setting ourselves up for a pretty robust production going forward, and that's reflected in the tonnage numbers.
Ovais Habib: And just in regards to the reserve replacement at possible, it was about 50% of depletion. Where was this material added from? Is this coming from like Harrier or Phoenix? Can you give me a little bit color on that?
Tony Makuch: You okay with that, Ian? Or...
Ian Holland: I was going to say, Eric, do you want to tackle that one?
Eric Kallio: Yes. I think I'll try the call in question that the big focus for the drilling underground was really on lower parts of the Lower Phoenix, which we could reach from the hanging pit that we have in place already, and as well as the Signet. So those are the 2 main areas. We didn't generate any reserves at Robin's Hill.
Ovais Habib: Okay. And then just once you kind of -- your 2020 drill program. You talked about where you guys are going to be targeting in terms of how that plan is going to be paid out. Can you give us a little bit of color as to where the reserve replacement is going to come from for 2021, then? Or if you see the opportunity?
Eric Kallio: Yes, exactly. Yes. As I mentioned, we've -- the large majority of our drill meters are allocated to the Lower Phoenix downtimes of the one reserve, and that drilling is going to get done to -- from new hanging wall drifts that are in progress actually at this year-end. And we think can be completed sort of midyear. But that's going to allow us to drill quite a way down plunge, maybe not the full 900 meters, but it will give us a big area to drill in. So that's going to be a big component of that there. We also hope to be able to add to the reserves that Robin Hill. That's really the main area.
Operator: Your next question comes from the line of Cosmos Chiu from CIBC.
Cosmos Chiu: Sorry, Tony, I won't be seeing you at the BMO conference, but I've heard great. And maybe my first question is on Detour here. Good to see that, Tony, you got the permit to get up to 32.8 million tonne per annum. I guess, as you talked about, you're not planning to get up there just yet. But have we thought about that was up about 90,000 tonnes per day. Have you thought about how you could get up there? When I used to cover Detour, they had talked about potentially like a third line segment, configuration. Maybe some back-end or leach tanks in the back. Have you thought about, once you get there, how you might get to 90,000 tonnes per day?
Tony Makuch: Sorry, and Larry is on the call because here give some color to this. But right now, I were deter for the processing in 2021 and 2022, we're doing a lot of things to improve throughput at the mill in terms of whether it's new or some additional leach tanks with improved performance on the crushing, either through screens and alternate feed systems, try to work on scheduling. And again, the things to give you more flexibility to improve in terms of overall mill availability and mill utilization. There's a number of areas right now. I think as we discussed previously, from our perspective, I think Larry mentioned, now we're seeing it getting up to somewhere around 28 million tonnes a year, which is about 80,000 tonnes a day. And we're at a point, I mean, we see it sort of in one way, we're not necessarily working towards 100% just drive throughput at the Detour as being a good strategy there because we need to -- also want to improve grade control and grade management. And that's part of us all new assay lab this year, and maybe we'll be able to do a combination of improved grade control, grade delivery to the plant and building stockpiles over the life of the mine that can really generate a lot of cash flow. But I don't know, Larry, you got any color you want to give in terms of mill performance?
Larry Lazeski: Thanks, Tony. The only I'd add, really, is over the course of the next couple of years, there's a lot of capital going into the mill various areas, increasing the crushing side, obviously, is going to -- you're pushing the material through the mills and the rest of the plant. We need to understand and continue to debottlenecking to get to that 28 then maybe 2 or 3 years down the road, and we understand exactly how the mill is running. And then you make more decisions from that point.
Tony Makuch: So -- but the line current circuit lines in place will definitely -- we're not quite sure what the final total throughput might be on that. And yes, there is an opportunity to do a third line. But right now, we don't -- we're not seeing the requirement to do that yet. And there's a lot of other opportunities in terms of maximizing throughput with lower costs, and -- but I mean, fundamentally, we want to also try to optimize grade delivered to the mill at any one time. And then be responsible to hold deposits. So that's where instead of throwing a lot of low-grade away if we start creating a low-grade stockpile and use that and it saves us on tailings, too, because -- and disturbances on surface and our overall footprint on-site and the mine life because then we can process that, we put it back in the pits, and we create a better closure plan for Detour.
Cosmos Chiu: Sure. And then my second question is on your 2021 outlook here. As you talked about, Q1 is the lowest-production quarter, highest sort of all-in sustaining cost. But you've also gone mentioning that all-in sustaining cost is higher due to the timing of CapEx, sustaining Capex. Could you maybe help me out? Because during the presentation, you talked about Detour. A big part of the CapEx is the tailings facility. My understanding from before was that a lot of that money spent on tailings will be during the summer months. So I'm just trying to reconcile the profile of CapEx for the company and how that fits in with what you have talked about at Detour.
Tony Makuch: Well, I mean, at Detour. So first off, yes, you do have the tailings facility that is -- it doesn't necessarily 100% stop. You remember that as an old saying, why wait till spring, do it now. Right? I mean there's a lot of stuff we're continuing to progress, and we need to progress tailing. But in terms of capital programs, there's a lot of the mill programs that are taking place from a capital perspective at Detour. There's the aggressive exploration that's a part of the cost in Q1 and Q2. You more on that, Larry?
Larry Lazeski: No you, got it all there.
Tony Makuch: No, we do have some deferred stripping happening that happens in Q1, Q2, right? And Macassa is progressing -- Macassa. We're going to the next phase of which shaft, not doing not just shaft sinking in 2021, but also some more shaft infrastructure starting to come in place such as bins and more on those type of areas.
Larry Lazeski: We are doing some work for Detour in terms of how we progress the set of liquefied tailings deposition to a high-density paste positioned for better water management as we progress in the future years.
Cosmos Chiu: So great. Thanks, Tony. That's -- those are the 2 questions I have, and I look forward to the remainder of 2021. And joking aside, have a good time at the BMO conference.
Operator: Your next question comes from -- sorry, go ahead.
Tony Makuch: Just to finish up what Cosmo asked. So it's already been -- it's been a point that maybe if we forgot to mention. We did -- we mentioned that all-in sustaining cost per ounce was going to be the highest in Q1, not necessarily in sustaining capital. And because our run production in Q1 is lower than the future quarters. So that's a big driver of our per ounce in the quarter. So sorry about that.
Operator: No problem. Your next question comes from the line of Mike Parkin with National Bank.
Mike Parkin: Most of my questions were answered, but you've got that nice permitted of the way. Well, actually, it wasn't a nice permit, but you've got the new one in there for Detour. Can you give us some color in terms of how often, maybe in Q4 and the second half, you were bumping up against that daily limit? Just to give us a sense of just how kind of handcuffed you were in being able to show what that mill can really do?
Larry Lazeski: Thanks, Mike. Larry here. Throughout the year last year, I think we've bumped up against it about 70 times, give or take. It would manifest itself into the mill having a kind of slowdown in shift depending on the situation, right? So I think, although we could -- the mill has is, we could take advantage of that permit, but not to the degree that we plan on taking advantage with the throughput initiatives. So as we get later into the year this year and then into the following years, and on being consistently above that level, 75,000.
Tony Makuch: Again, the other aspect of increasing throughput was also -- we don't want to do that at the expense of recovery. So that's the other aspect of it that we're bumping in. This is sort of leading in, to get the permit to this level, it leads into a lot of the capital and the programs we're putting in place at Detour to both improve mill throughput, but also improved mill performance at the operations.
Larry Lazeski: Okay. Right. I guess the tankage is to kind of keep retention times similar given your throughput is going to be on.
Operator: Your next question comes from the line of John Tumazos from John Tumazos'.
John Tumazos: Tony, if you could explain a little on the Detour reserves, above 0.5 gram, you declassify 408,000 ounces, it looks like. Or the reserve went down more than depletion. And then almost 2 million ounces at 0.41. Are those all end-of-life stockpiles?
Tony Makuch: Sorry, and Natasha Vaz here, our VP Technical Services. She can answer a lot of this stuff.
Natasha Vaz: I don't our as part of the Detour update, we did redo the geology model. And so it did have an impact and we could change the shape of the actual pit itself. So it did have an impact to the overall resources could change. But the respective cutoff grade, as Tom mentioned, a variable cutoff grade for Aon. And basically will be ended up being Detour becoming more selective. And that will help us with the authority cost optimization. So I just want to stress that when we did that, we optimized the production for higher-grade ounces and stockpile lower-grade to be milled mainly at the end of mine life. And we also made -- yes, that we also did make a bit smaller a little bit. So that's probably impacted our overall.
Tony Makuch: Yes. So one of the things that we did, John, is with the previous reserve. So we say we completed some -- but what we did was there were some marginal ounces maybe at bottom of the pit, where we adjusted -- we didn't -- we adjusted costs, et cetera, from previous years in terms of what was in the model and previous reserves. And so the pit doesn't pull down quite as far as it was before. So that's where it looks like there's some ounces came off, but just because it's a little bit smaller, right?
John Tumazos: If I could ask another on Fosterville. Is the 3-year production forecast solely from the reserves already on the books? Or does it include some MI and inferred? Or does it assume a few extensions that you think are there but still need to document?
Natasha Vaz: John, it's based on only reserves when we did the financial model on the reserves that we fall within the guidance.
Operator: Your next question comes from the line of  from Robo, Inc.
Unidentified Analyst: My two questions. First of all, I'm a little confused since all of the reports that you've been putting out in the last while have been extremely positive and extremely encouraging. But for some reason, the market is not buying into it. As a matter of fact, if you take a look at the stock history in the last 6 months, it's been down about, I'd say, $25 or so. Over the last year, it's down about $32, $33. Today, you're making another announcement that's record-breaking in all areas. I mean, we probably have more cash than anybody. We have more reserves, we have more competent leadership and so forth. And yet, here we are, last time I checked, it was down $1.50. So my question is this, if we are so positive about this stock, why is it plummeting? And secondly, what are you, as the executive of this company, planning on doing to stop the bleeding and the plummeting that seems to be affecting the stock? I mean, it should be according to, I think, Scotiabank, should be trading between $65 and $70. Yet here we are, what is it? 43-something. Can you please explain that for me, please?
Tony Makuch: Thanks for the question, Robert. First thing, Rob, remember it is, I don't know if I can date yourself, but I can date myself. There's an old saying that says you can lead a horse to water, but you can't make them drink, right? So sometimes, you have to -- it has to be -- it's something that people want to own, et cetera. And definitely, there's been a lot of positive growth and continued positive things, messaging and positive things we're doing at Kirkland Lake Gold. And it's up to us to demonstrate value and drive new value for shareholders. The market as a whole in the gold space, there's sometimes, things you kind of wonder what can be going on. I think we have -- we look at first principles. We've got to tell our story and we've got to execute our story as we have. I think there's a couple of key drivers that -- for the valuation of KL. And I'm sure one is Fosterville and where is Fosterville going to with new discoveries, et cetera? And then as we continue to progress -- we've got big catalysts at Detour this year, the upgraded -- updated resource and an updated reserve that we expect for 2021, and that tied to a whole new updated mine plan, et cetera, that might even bring in those ounces that John Tumazos talked about came up because we got slightly small, maybe this too bigger again. So there's a lot of these catalysts that we've got to work to drive and demonstrate new value. And I mean, fundamentally, share prices should go up because of -- there's where somebody sees the overall value of the company was $1 yesterday, but tomorrow it's going to be worth $2, and that's how we've got to demonstrate value. It's got to be that. And I don't know. I mean, in terms of the market and what the market sees, I think the biggest probably the thing around Kirkland Gold is going to be what's their relationship to Fosterville. And then maybe over time, we work at demonstrating reason why Detour was such a great acquisition for the company.
Unidentified Analyst: Okay. But how do you get that message across? Because on the reserves that you have right now and the cash and the fact that you have no debt, according to some of the analysts, this stock should be trading in the 60s and yet it's trading at the 40s. So it appears to me as if that message isn't going out there. So what does the team have in the plans to make sure that, that message gets out there, that it's a $60 stock or a $65 stock as opposed to $43 stock as it is today? So does the team have any idea of how they're going to handle this?
Tony Makuch: Well, I mean, again, we -- people like you going out there and saying this is a $60 stock, it's important. But fundamentally, it is continuing to demonstrate the results, continue to demonstrate that the as it goes forward. And again, the biggest catalysts are going to be the -- what we see is new discoveries at Fosterville, that's a major catalyst driver and that's only going to be positive. And as we complete the -- what we're working with Detour this year and what that can do. I mean, we tell -- we can tell a story. But what we're trying to do is in our story is tell true and demonstrate that. And I know and I'm sure, and you can see by a lot of the analyst reports, that people are seeing it, and it's going to take time for people. They're going to want to know it's there. And then people will be buying in the stock. And there is all to value, and it is a $60 or $70 value stock, and it's going to be coming over time as we demonstrate that value. And you've had a big pullback in the gold price, you had other things that have happened. That's stuff we don't control and we don't take credit for it. And when it goes up, and we don't take plan for it when it goes down. We've got to focus on value in the business, right?
Unidentified Analyst: So are there any promotional aspects that the company or the executive can undertake to get that message out there? Because I can do it, but I'm only going to reach 5 or 6 or 10 people. I think we do that make...
Tony Makuch: So I mean, we do have a lot of marketing. You got to recognize the marketing has been virtual, and we continue to be heavily out there and communicating to our existing shareholders and to new shareholders, whether it's the BMO conference next week. There's a number of things happening over the next few months here that we're continuing to communicate to. And it's -- yes, everybody you heard on this call and a few others are out there talking to shareholders and communicating. But where we are, and I won't say it's a challenge. We've got virtual meetings. We're getting good at virtual meetings. It's about getting -- continuing to get the message as it's challenging, but it's new opportunities for us. And we do have an aggressive marketing schedule that's going to be going on in the next few months. But fundamentally, we're not about to tell a story, we're about trying to demonstrate the results and make sure that the story that we are -- what we're telling you, we can demonstrate it in the results that you are going to see over the next 6 months or a year?
Unidentified Analyst: Well, hopefully, it'll come pretty soon, otherwise, this thing is going to go back down to $25, which none of us want to see. Anyway, keep doing -- well, I shouldn't say keep doing what you're doing because the stock goes down. But hopefully, this will stop and we'll see it back up to $60, $70 in the near future.
Operator: There are no further questions at this time. You may continue with any closing remarks you may have.
Tony Makuch: Thanks, operator, and thanks, everyone, for participating today. And I'll just put my own take on the last question, and that is that right now, we believe we're an excellent buying opportunity. We think we have a lot of value upside in front of the company. We have 3 outstanding assets, all of which had significant exploration and value creation upside. So key for us is execution, both operationally and with our exploration programs and then aggressively market and let us make sure The Street realizes the progress we're making, and that's exactly what we expect to do. And on that -- in that vein, I'll say that we're very much looking forward to our next quarter end call so we can tell you how much further we've come. Thanks a lot of participating today, and have a good day.
Operator: Ladies and gentlemen, this concludes today's conference call. You may now disconnect.